Operator: Good morning, ladies and gentlemen, and welcome to the Empire Fourth Quarter 2024 Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, June 20th, 2024. I would now like to turn the conference over to Katie Brine, VP, Investor Relations. Please go ahead.
Katie Brine: Thank you Joanna. Good afternoon and thank you all for joining us for our Fourth Quarter Conference Call. Today we will provide summary comments on our results and then open the call for questions. This call is being recorded and the audio recording will be available on the company's website at empireco.ca. There is a short summary document outlining the points of our quarter available on our website. Joining me on the call this afternoon are Michael Medline, President and Chief Executive Officer; Matt Reindel, Chief Financial Officer; Pierre St-Laurent, Chief Operating Officer; and Doug Nathanson, Chief Development Officer and General Counsel. Today's discussion includes forward-looking statements. We caution that such statements are based on management's assumptions and beliefs and are subject to uncertainties and other factors that could cause actual results to differ materially. I refer you to our news release and MD&A for more information on these assumptions and factors. I will now turn the call over to Michael Medline.
Michael Medline : Thank you Katie. Good afternoon everyone. I am very pleased with the way our team is executing despite the currently inhospitable economic backdrop. We have become a disciplined efficient grocer that is focused on delivering earnings growth. Our results this quarter demonstrate this with strong gross margin control, capital discipline, and strong SG&A containment, driven by our productivity initiatives and restructuring. We are committed to driving profits and doing the right things by our shareholders. We trust that you will see that in the approach that we are taking with Voila and in our continued commitment to return capital to our investors. The cost control and discipline we are delivering will pay-off as we turn the corner on consumer sentiment which will benefit our top-line. Of course, everything we do comes down to our stores and I am very pleased with how our operators and merchants are performing. I'm going to focus today on four topics. Key market trends, our Q4 and Fiscal ‘24 results, an update on our strategic priorities, and commentary on capital allocation for Fiscal ‘25. First, market trends. In Q4, we saw continuation of recent trends with consumer confidence remaining low due to the hangover of inflation and elevated interest rates. Food inflation continued its downward trend, remaining well below overall CPI and reaching a 2.5 year low of 1.4% in April. While we are pleased to see low food inflation, consumers remain very careful in their spending. With the interest rates reduction announced by the Bank of Canada earlier this month, we believe this represents the start of a turning point for improved customer sentiment. As rates continue to gradually decline and Canadians feel less pressure on their wallets, we expect to see customers adding more items in their basket and trading up. That'll translate to increased sales momentum for Empire. We are currently more optimistic about the market and our prospects than we have been in a long time. We expect that improvements will be gradual but inexorable. Turning to the quarter, we delivered solid results in the context of this environment. When you remove other income and share of equity earnings, which is largely real estate related income, Q4 was consistent with both the prior quarter and last year. Gross margins continue to improve this quarter, driven by operating efficiencies and a strong focus on executing with excellence in our stores. This wasn't driven by any one thing in particular, but several smaller but meaningful things. For example, we reduced [non-fact] (ph) strength through a focused initiative. We improved space productivity and we improved -- increased our supply chain efficiency to name a few. In Q4 of fiscal 2024 and Q1 of fiscal 2025, we were comping two strong quarters where we saw customers return to more pre-pandemic behaviors before they began to retrench again in late summer of last year. We are pleased to see that even in this environment, our customer base continues to grow. Customers are continuing to trade down to less expensive items, but this phenomenon seems to be abating. All of this is reflected in our same store sales increase of 0.2% this quarter. Now for an update on some of our key customer and sales driving initiatives. First, I wanted to provide a comprehensive update on Voila. We remain extremely pleased with Voila and continue to believe that this is the best grocery e-commerce solution in Canada and that will be attractively profitable in the medium and long-term. Customers love the service offering, the technology is best-in-class and we are running the operations very efficiently. Overall I am more optimistic about Voila today than I have been in some time. In Q4 Voila same-store sales grew by 17.3% and overall sales grew by 23.5% over last year, our highest ever. Voila is well-placed to win this growing channel and we remain committed and confident about its future success. However, as we have stated several times over the past 2 years, the current size of the grocery e-commerce market in Canada is smaller than we, or anyone for that matter, had anticipated. Our business model included a phased CFC opening timeline that was designed to protect Empire's profitability levels while expanding quickly. The plan was that the rapid growth in grocery e-commerce penetration would result in increased profitability at our active CFCs, and this would compensate for the initial operating losses from the newly opened CFCs. But due to the smaller overall market and the slower rate of growth, this has not been the case. So we are losing more money than we had initially estimated, and this is actually masking the strength of our bricks and mortar business. As a result, we are taking several immediate actions to address the higher than expected dilution from Voila and quickly improve performance. First, we've decided to pause the opening of our fourth CFC in Vancouver. That's the right thing to do for our bottom-line and for our investors. We want to focus on driving performance and volume on our three active CFCs before we open CFC 4. Construction of the external building for the fourth CFC in Vancouver has been substantially completed with internal work related to grid build and robot commissioning not yet started. This pause will allow us to continue focusing our efforts on the strong momentum we are seeing with our active CFCs rather than the time-consuming activities associated with launching a new CFC. As soon as we see higher e-commerce penetration rates in Canada, we will be in a position to make a decision quickly on when we will proceed with opening CFC4. Second, we are working with our partner, Ocado, to decrease our costs and provide us with increased flexibility to serve our customers more broadly, which includes ending our mutual exclusivity. Although it served all parties extremely well since the start of our relationship, by removing it we can pursue complementary growth opportunities in the market, including by serving more types of customer trips and having access to a larger segment of the market, which we're very excited about. Ocado has and continues to be an outstanding partner to us, and this is a decision we made jointly to grow the business. In Q1, we will have a one-time charge relates to exclusivity, as a result of an ending earlier than we had initially planned. This charge will be approximately $12 million. We anticipate this cost will be more than offset by the other operating improvements and savings we expect to achieve. All this to say, there is a lot we are doing to improve the bottom-line results of Voila. These changes will have a significant impact on Voila’s profitability in fiscal 2025 and fiscal 2026. We've had great conversations with our partners at Ocado. We're very happy with the partnership and our Q4 Voila results are the best we've had since we launched in June 2020. Now for an update on Scene+. Q4 marks the first full year of Scene+ being active in almost all Empire banners across Canada. Scene+ program benefits are resonating with customers who are swiping their cards more than ever to earn points from their grocery shop, get additional savings with member pricing and redeem points for free groceries. In fact, since launch, Canadians have redeemed over $270 million in points for free groceries across our stores. Scene+ Performance is meeting and in most cases actually exceeding our key performance metrics such as on-card sales penetration, active customers, and supplier engagement where we have more than double the number of suppliers participating in Scene+. Program awareness and satisfaction also continue to grow nicely. Scene+, now has over 15 million members, up 50% since the launch at Empire, which is fantastic, but having them active and engaged is critical. Our focus on digital has allowed us to double the number of loyalty members we are able to contact, which is key, as our digitally engaged members spend 2.8 times more than our non-members. The partnership with Scotiabank and Cineplex continues to thrive and we are extremely pleased with the Scotiabank acquisition campaigns that are bringing many new customers into our stores. We couldn't be more pleased with -- the first full year in action for Scene+. Now on to an update on Farm Boy. This banner continues to thrive with their same store of sales performance highest in our network over the last two quarters. But in addition to their standalone performance, the Farm Boy team brings so much valuable experience and learning to the rest of our merchandising organization through several strategic initiatives. For example, this past quarter we ran produce pilots in some of our Sobeys Ontario stores, leveraging the fresh sourcing, assortment and operational excellence from Farm Boy to reinvent the customer experience in this department. There are several other exciting things in the pipeline between our merchants and operators at Farm Boy and our other banners to improve our stores. And I look forward to sharing more on how this great partnership is benefiting all of Empire. Our Farm Boy banner also generates consistently strong returns and has been a great use of capital. And in fiscal 2025, we plan to continue investing in the [Center] (ph) by opening another three stores. Now before I turn this over to Matt I want to talk about our capital allocation plans in fiscal ‘25. Our business is generating a healthy amount of cash, $1.5 billion of free cash flow before CapEx, and we will continue to invest your capital wisely. During our seven-year transformation, we need to increase our capital investments to develop new businesses, tools, capabilities, and assets. In fiscal 2024, we started to bring our capital investments back down with a target of $775 million. We actually finished the year at $720 million excluding the Montreal Purchase of Land, which reflects the high cost of construction and our capital discipline. Where capital projects didn't meet our hurdle rates, teams were sent back to the drawing board to bring down costs. This brought our capital spend in lower than initial expectations for the year, and for fiscal 2025, we estimate we'll invest $700 million, and Matt will give you more details on this shortly. Lastly, I'm very pleased to announce today a 9.6% increase in Empire's quarterly dividend per share, which brings our five-year dividend CAGR to approximately 11% and represents an increase in our dividends for the 29th year in a row. We also announced that we renewed our NCIB to repurchase approximately $400 million of shares in fiscal 2025. And you should know that this represents up to 12.8 million shares, which is about 10% of our public flow. We remain committed to returning free cash flow to our shareholders and are at the maximum limit set by the TSX that we're able to purchase under our NCIB. Now with that, over to Matt.
Matt Reindel : Thank you, Michael. Good afternoon, everyone. I will speak to our Q4 financial performance and our fiscal 2025 expectations before moving on to your questions. Our Q4 bottom-line was almost exactly what we had communicated during our earnings call in March. Performance this quarter was very similar to both Q3 of this year and Q4 of last year. We delivered Q4 adjusted EPS of $0.63 compared to $0.62 in Q3. In Q4 last year, adjusted EPS was $0.72, but this included a higher contribution from other income and share of equity earnings. If you exclude this, adjusted EPS was flat with last year. Moving to the top-line, we delivered same-store sales of 0.2% as we began to come some stronger sales performance last year and as a reminder, we'll also be [coming] (ph) very strong same-store sales performance in Q1 of fiscal 2025. Even with food inflation returning to normal levels, it will take some time for consumer behavior to return to normal given these higher interest rates. But the interest rate reduction earlier this month was a great step in the right direction and we expect consumer sentiment to improve throughout fiscal 2025. Our gross margin raise, excluding fuel, grew by 68 basis points versus last year, reflecting continued momentum from Q3. The rate of expansion was greater than we had anticipated and wasn't due to any one specific item, but reflected the combined impact of many actions we are taking to support margin performance. Some of these were improvements in space productivity, shrink, particularly in fresh, efficiency initiatives in supply chain, and business unit mix. When we look at SG&A, as expected, dollar spend grew year-over-year, largely reflecting business expansion, higher retail labour costs and investments in our store network. And similar to recent courses, the SG&A rate also increased versus the prior year, with our SG&A growth outpacing sales growth as we continue to invest in the future. But our cost reduction initiatives and enhanced discipline are beginning to deliver. In Q4, when you exclude our adjusting items, so restructuring costs, the cyber security adjustment, and grocery gateway integration costs, our SG&A dollars increased by 2.5% versus last year, which is notably lower than the 4.1% increase we saw in Q3. Similarly, when you look at SG&A rate, our Q4 rate increased by 55 basis points versus last year, which is notably lower than the 90 basis points increase we saw in Q3. So we're happy with our SG&A progress and this will set us up for success when sales improve and we can generate a better leverage of our fixed costs. The contribution from other income and share of equity earnings in Q4 was about $31 million lower than last year, largely reflecting the large capital gain we generated from the sale of a property last year. Now I'm going to come back to this real estate related income later in my remarks when we discuss Fiscal 2025. Our effective income tax rate was 28.3% in Q4, which was 300 basis points higher than last year, mostly due to the revaluation of tax estimates. For fiscal 2025, excluding the effects of any unusual transactions or differential tax rates on property sales, we estimate that our effective income tax rate will be between 25% and 27%. Finally, on our Q4 numbers, let me give you an update on our adjusting items. There's nothing new this quarter. Firstly, we excluded restructuring expenses of $15 million after tax or $0.06 of earnings per share. And secondly, after completing our cyber insurance claims, we excluded net recoveries of $10 million after tax or $0.04 of earnings per share. These two adjustments reconcile our reported EPS of $0.61 to our adjusted EPS of $0.63. Now let's turn to fiscal 2025, And I'll start with Voila. As Michael said earlier, we remain very confident in Voila, as our medium and long-term solution for grocery e-commerce. However, with lower-grit e-commerce grocery penetration than we had initially forecasted, we needed to take immediate action to improve short-term financial performance and to protect against additional unforecasted losses. While we do not provide specific information on our Voila businesses or on our individual CFCs, we will enhance our path to profitability by pausing the opening of CFC 4 while we focus on our three active CFCs and by working with our partners at Ocado to increase flexibility and decrease costs and by exploring other business development opportunities. With regard to capital allocation, our plans are supported by our strong balance sheet and our ability to deliver significant free cash flow. Firstly, we announced today a 9.6% increase in our dividend and secondly, we announced the renewal of our NCIB program to repurchase approximately 400 million of shares in fiscal 2025. Thirdly but most importantly we plan to reinvest approximately $700 million of CapEx in fiscal 2025 with about half of this allocated to renovations and new stores and about a quarter to IT and business development projects and the remainder to the combination of logistics, sustainability and e-commerce. As we have said in the past, capital discipline is paramount and we were extremely disciplined in fiscal 2024. If you exclude the land that was purchased in Q4, CapEx was approximately $720 million, which was well below our original guidance of $775 million. As Michael said earlier, if proposed capital investments don't generate the right level of return, they are rejected. Now let me return to other income. To provide further clarity on the performance of our core grocery business, we will begin to share an outlook on the combination of our other income and share of equity earnings, which is mainly our real estate related income. In fiscal 2025, we expect the pre-tax aggregate contribution from these two line items to be in the range of $135 million to $155 million, which is largely in-line with fiscal $24 million, if you exclude the gain on the sale of the Western Canada fuel business. We expect this to be realized with the following quarterly cadence, about 35% in Q1, 10% in both Q2 and Q3, and then 45% in Q4. The 35% that I noted in Q1 includes the pre-tax gain of $39 million related to a sale in leaseback transactions that we recently completed in June and is disclosed in our MD&A. And let me reiterate, we have always viewed this other income to be a part of our normal course of operations. Before we move on to your questions, a few final thoughts from me to leave you with. Over the past two years, we've demonstrated our resilience and our ability to effectively execute in a challenging economic environment that has been adversely impacted by extended periods of high inflation, elevated interest rates and tight consumer spending. Throughout this period, we've protected the fundamentals of the business, resisted empty calorie sales, grown our gross margins and proactively managed costs. And these cost control initiatives, including our restructuring program, non-merge procurement initiatives and supply chain projects, are beginning to produce benefits. And our proactive approach to improve profitability at Voila will also begin to generate benefits in fiscal 2025. So we're really looking forward to fiscal 2025, because as interest rates continue to come down, we believe that consumer behavior will begin to normalize and in turn, support our top-line growth. This will enable us to drive more leverage into our business, especially now with an optimized cost structure, And ultimately, we will grow our EPS in-line with the long-term targets as stated within our financial framework. And with that, I'll hand the call back to Katie for your questions.
Katie Brine : Great. Thank you, Matt. Joanna, you may open the line for questions at this time.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from Chris Li at Desjardins. Please go ahead.
Chris Li: Oh, good afternoon, everyone. Michael, I know I asked you this last time as well, but in light of today's announcement, I'm just wondering if you have any updated views on two things. Number one is, what do you think are the key factors that are limiting e-commerce adoption in Canada? And number 2 is, how long do you think it will take before penetration reaches a level that will allow Voila to be profitable. I'm sorry, I know this is a big crystal ball question.
Michael Medline: No, it's a good question. Let me do the penetration first, which is currently e-commerce penetration has gone up recently. Just so you know, and the demographics are in our favor on this one as well. But it's at 4%. We would have expected it to be 6% to 7% penetration of grocery at this time. At the same time, that wasn't a break even. That was better than that, what we expected, 6% and 7%. So I'm not going to tell you when and where, but it's somewhere between 4% and those numbers that we need to get at. Now, at the same time, as you can see in all of these places, we're not waiting for the economy. We're not waiting for everything. We are doing all sorts of things to make e-commerce more profitable for us, and not just waiting for that. But that will come. The solution's fantastic. Customers love it. We'll do well. But we can't wait for that. We owe it to our investors to become much more profitable year-after-year and then make this one of our best businesses in terms of returns. So that's what we're aiming at. In terms of my own theory behind why e-commerce hasn't caught on in grocery as it has perhaps in hard goods or soft goods in Canada, and below that of countries like the UK and the US, it's I think twofold. One is that we have great competition and bricks and mortar stores in this country. And they serve our customers well. And maybe that's better than what others find in wherever they live. That's one theory. The other theory and one I subscribe to, but it's open to debate, is when Canadians really needed to count on grocery e-commerce during the worst days of the pandemic, It stuck, right? Most of the offerings out there were terrible, with terrible substitutions and not on time, because people were just trying to get food to people in crisis, and I understand that. But I think that hurt the brand overall, e-commerce and grocery. But what we're seeing is you try, voila, you're sticking with it. It has our highest NPS scores by a mile, even higher than Farm Boy. And customers love it. We just need more people trying it, which they are now doing, as you've seen. And we are becoming much more confident in the industry growing. Part of that will be the industry growing, and part of that is we're going to grow the industry. So a little more confidence, but it's below where anyone thought it would be. Matt, you would take me to add something onto that.
Matt Reindel: Yeah, I'll just add to your question about CFC 4, Chris. So we haven't set a specific target as to what penetration needs to be before we launch CFC 4. The key really is, the point of being out from today is we're going to focus our minds now on running the three CFCs we have with excellence. So you can imagine over the past four years, the teams have been focused on opening a CFC to opening a CFC to opening a CFC. So now with this pull, this enables them to really focus on running those CFCs excellently. So it's going to be a combination of e-commerce penetration growing and our profitability growing across all of the CFCs. You know, we made this decision and have been discussing it internally. And the notable improvement that we're already seeing in those 3 CFCs is quite clear as you can see from almost 25% growth in Q4. So we're very pleased with how that's progressing. And when those two metrics move in our favor, then we'll make an announcement last year CFC 4 and we can quickly get that CFC up and running.
Chris Li: Well said. Thanks for that. Maybe a follow up on that is, you know, appreciate all the colors so far. And when you mentioned that you expect a significant improvement in profitability as a result of some of these actions you announced today, can you help us understand or size it up for us? What, how much of this, like what's the size of this improvement that we can expect over the next year or two.
Matt Reindel: Yes, I'll share what I can. Chris, so as you know, we stopped talking specifically about what our profitability two years ago. But what we've been saying for basically the past two years is that with lower grocery e-com and lower growth, then we've been making more losses than we had initially planned. So that's really the reason that we had to move as quickly as we did to protect short-term profitability and that's clearly what our shareholders have been expecting from us. So, look, when we look to fiscal 2025, we have now a -- we will have a full year of CFC 3 in our numbers. And as you know, in the early years is when we make the most losses before the CFC ramps up. So what our goal is for fiscal 2025, including a full year of CFC 3, is to make sure that our losses are no more than what we had in fiscal year before. So that's our goal. We're close. We have still some work to do, but Pierre and the team are working hard on this. And that's our goal, no more additional losses.
Chris Li: Great, thank you. I'll get back into the queue and all the best.
Michael Medline: Thanks, Chris.
Operator: Thank you. Next question comes from Tamy Chen at BMO Capital Markets. Please go ahead.
Tamy Chen: Hi, thanks for the question. Sticking with Voila here for a second, can you talk just directionally a bit about the 3 different CFCs? Like is the first CFC, the one in the GTA, the profitability or utilization there is relatively the best and the third is the lowest or among these three, it's a bit of a tighter band in terms of the utilization and profitability. Are all three at this point not profitable or maybe one is getting close to that. I don't know if you can give a bit more color about that. And Michael, did I hear you say that if overall grocery e-penetration was more than 4% closer to that 6% to 7%, the entire voila would be break even?
Michael Medline: Let me answer the first part about the individual CFC. So again, what I can tell you, Tamy, is that as each of our CFCs continues to ramp up and grow volume, they get closer to profitability. So that was always the model, that's what's happening. So CFC 1 continues to move in the right direction, CFC 2 continues to move in the right direction. CFC 3 is in launch mode, right, So their losses are increasing as we get to a full year of run rate. So to answer your question, they are all three are still losing money. That's absolutely in our expectations. But they're all heading in the right direction, but they are losing money.
Matt Reindel: I would say that CFC-1 is above the overall same store sales because it's been in the market longer and now in Quebec. So it's all time. And to your second question, good question, it's not exactly what I said, by the way, so I'll be very clear on what I say here. Not a 4%, but let me just put it this way, at 6% to 7%, we're all going to be happy, us and our shareholders. Very happy. So as we move, as that inches up and we continue to operate better and we're seeing these sort of same-source sales, it's going to look very good.
Tamy Chen: Okay, understood. And on these potential partnerships, so as I understand, as you've ended the exclusivity here, you're able to now look more into these partnerships. Is there any more you can say about that? How are you thinking of it? So, should we interpret that as essentially other, I guess, various retailers that do or offer e-commerce? It would be to lean on the infrastructure of, well, I'm the CFC. Is that essentially what you're getting at? Thank you.
Michael Medline: No, that could be something we do, but that's not what I was trying to get at. What we're talking about here, and I'm not going to get into too many details, but I think you're smart, and everyone on this call is really smart. You're going to know what I'm talking about. By ending exclusivity, this is going to allow us the opportunity to pursue complementary growth opportunities in the market, including by serving more types of customer trips and having access to a larger segment of the market. And the big moneymaker in the medium and long term are these big basket shops at Voila. But what we're seeing is that we also have to fulfill other missions in terms of satisfying customers to grow this business. And they've got to be profitable missions, honestly. And so right now we're in conversations with partners outside of the Voila universe to be able to compete in other ways, not just through our CFCs. At the same time, we also believe that we'll be able to bring some of these customers into the Voila environment because it's such a great service as well. And so I think in the next couple of quarters you're going to hear more about that.
Tamy Chen: Okay, thank you.
Operator: Thank you. Next question comes from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Yeah, thanks. I think the comments on Voila have been very clear and helpful. 1 just broader question with regards to sort of your e-commerce offering and I guess specific to Western Canada given that the Vancouver CFC will be postponed. What's the offering to the Western Canada customer today, you know, with regards to click-and-collect and is that something you expect to ramp up in the coming months?
Michael Medline: Yeah we're going to ramp that up as to fill in for the time period before we go forward with CFC 4. But right now, just to give you a flavor of it, the beefy market is served through 28 curbside pickup locations. And as you know, Mark, our Thrifty Food banner continues its online delivery. It started over 20 years ago serving Victoria in the Lower Mainland. So we have coverage there. I mean, it'll be better when we open up the CFC in terms of coverage, but we have made plans as well to make sure that we have a strong presence there. And pursuant to the last question as well, we're going to have other ways to serve this market that will grow our market share but also be profitable.
Mark Petrie: Yeah, okay, understood. Thanks for that. Yeah, and I guess, too, just sort of together on the margin lines, you know, the gross margin improvement, as you said, was a little bit better than you kind of signaled last quarter where you talked about sort of a normalization in the improvements that you've been seeing. Could you just talk about sort of the outlook there for fiscal 2025? And then similarly on SG&A, you know, a pretty modest increase all things considered. And do you think that's a reasonable run rate, that 2.5% that you delivered in Q4 normalized? Is that a reasonable run rate, barring any material change in sales trends?
Michael Medline: Sure, Let me answer both of those. So yeah, well, I mean, we're really happy with both of those line items in Q4 and as we look forward to fiscal 2025. But let me start with margin. Yeah, as I said in my script, really this comes down and out to operational excellence. And that's what's really kind of pleasing about our margin performance. There's nothing major in there -- like there was maybe a few years ago with promotional optimization which was driving 80 basis points in a quarter. This is a series of smaller initiatives that are all positively contributing. We talked about space productivity before, we talked about supply chain initiatives before, we talked about mix before. The one that's new this quarter, which we're very pleased about, is Shrink. I would categorize that as non-theft Shrink, but our operators are really making great progress on this and will continue to do so. In terms of looking forward to fiscal 2025, I think I've said consistently that over the next 3, 4 years, we're targeting 10 to 20 basis points of margin expansion per year. That might be a little bit bumpy quarter to quarter depending on what we delivered in the prior year but that's what our expectations are and we have enough tailwinds with improved shrink performance, mix, space productivity and how we run the business in order to generate that margin increase. And to be clear, just in case there's any doubt, none of this is coming from pricing. So that's really what's happening with margin performance. So I would bank 10 to 20 basis points for you. Very good without or -- you want to add anything?
Pierre St-Laurent : Maybe the only thing is because inflation is going down because customer behavior remained fairly steady compared to a year ago. The business is more predictable than it was a year ago, and it's easier to manage. So procurement, replenishment, production are more manageable and predictable. That's very helpful to manage promo mix and shrink. So I think with the level of inflation we have right now and some improvement in customer sentiments, we feel good about how we can deliver better and good control on all components of the margin.
Matt Reindel: And then to answer your question about SG&A, Mark. So, yeah, we're very pleased with how SG&A looked in Q4 for the reasons I said earlier with the cost control initiatives. When we plan out fiscal 2025, our SG&A rate is slightly higher than at F ‘24, but our goal is that we want to be close to having a flat SG&A margin next year. That's an adjusted SG&A margin to be clear. But that's what our goal is. We're going to be close, but that's what we're targeting.
Mark Petrie: Okay, appreciate all the comments and all the best.
Michael Medline: Thanks, Mark. Thank you.
Operator: The next question comes from Michael Van Aelst at TD Securities. Please go ahead.
Michael Van Aelst: Hi, good morning. So I wanted to circle back on Michael's earlier comments about the consumer optimism. And I understand how with rates coming down, that should be some help and inflation coming down, that should help. But how do you balance that out versus the significant pressures from a large component of mortgage holders that are going to see their rate, their mortgage rates go up substantially over the next two years. How do you, I guess what else are you seeing from the consumer that makes you confident that you were going to see some improvement in the consumer health over the next four quarters? Yeah, I think it's a great question. And what we're seeing from external studies on consumer sentiment and in our own business is that, as I said, it's going to be gradual, but we believe it's now improving that we're out of the abyss and that we believe, even though Canadians remain, you know, under pressure, as I said, because of shelter costs and all sorts of other costs coming at them and mortgage renewals, rent increases, everything, that this is still a trepidatious consumer. What we're seeing is them coming out of the trough. And we're seeing early indications of that throughout our business, even though it's still not – I mean, these are not heady days, but we believe this is the early changes. We'd like to see, obviously, stronger consumer sentiment, which will come from lower interest rates and some other things happening. But we believe in our business that we've seen the problems stop growing and get better. We're also seeing a – one of the things we see, but you can look at the consumer sentiment yourself. But one of the things we're also seeing is this quarter a further shrink between the difference between full serve and discount same-serve sales as well.
Matt Reindel: Yeah, I would just --. The only thing I would add to that, I think Pierre alluded to it earlier, that the stabilisation of consumer behaviour is what gives us confidence, right? Because we see this kind of gradual improvement in all of our metrics across our entire business, not just in sales but in promotional effectiveness, in margin control, in how we manage our stores, that stabilization of consumer behavior really plays into our hands. So I have always used the word gradual. I expect gradual improvement throughout the year, but it's gradual improvement everywhere, and that's what gives us that optimism.
Michael Van Aelst: Okay, that's helpful. And you reiterated your 8% to 11% long-term EPS CAGR. It's a forecast or guidance that you put in place last year and you've seen your earnings down a couple of percent in a tough environment obviously. So that would mean that you need to get above 8% to 10% at some point over the next few years to get back into that. How do you feel -- like do you feel you can actually get into that range this year?
Michael Medline: Yes.
Michael Van Aelst: Yeah, and that would have to be if you're -- that would have to come I'd assume from some top-line growth some more meaningful top-line growth in the back half of the year.
Michael Medline: We hope for some top-line growth, we do. But we are not planning for ridiculous top-line growth to make that target.
Michael Van Aelst: All right, great. And then just finally, on your capital program, Matt talked about cutting back to the budget to $700 million. I think originally we were thinking more like $800 million. What projects are generating the good returns? I'd assume Farm Boy is one of them. What projects are you most happy with that you're continuing with, and then where are you cutting back?
Matt Reindel: That's a great question. So the -- we have a lot of detail on this because we're so focused on returns and benchmarks. Over the past three years to five years, almost anything we've done in real estate has had a fantastic return. That's becoming a little bit more challenging now because of the cost of the physical cost of capital. But even within that space, the work we're doing on Farm Boy, on Longo's, the new stores, they all generate a very healthy rate of return. So that's why we still generate, sorry, still allocate 50% of that capital to stores. So that reinvestment in the stores will remain strong. In terms of other areas, so the work we do on business projects, so when you think about space productivity, for example, the work that we do in stores, they all have a very strong rate of return. The reason for the reduction really is, it's trimming across the board. So in prior years we had a larger investment in e-commerce and now of course is coming to an end now that our CFC 4 building is complete. And that will translate a little bit into logistics. So we'll move some of that investment into logistics, which has more of a long-term, but a very positive IRR. So it's a little bit of reallocation between spend buckets and just trimming. But 700 is a healthy number for us, the full fiscal 2025.
Michael Van Aelst: All right, thank you.
Operator: Thank you. Next question comes from Irene Nattel at RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks, and good morning, everyone. A couple of follow-up questions, please. So first of all, following on Mike's question and your answer Matt, you called and sure -- current borrowing rates or cost of capital is being a factor. If in fact we do see rates coming down over calendar ‘24 and early ‘25, should we be expecting that CapEx number to go up again for F’26-‘27?
Matt Reindel: It's a great question. I think the answer to that is no. We've worked very hard to make sure we have really strong capital discipline in place. I think you know my focus on return on capital and making sure we deliver a good return to our shareholders. So, yeah, we are, if anything, improving our hurdle rates and making sure that we deliver really strong returns on our capital. So, no, I wouldn't bank an increased assumption. I think that $700 million number is good for a couple of years.
Irene Nattel: That's really helpful, thank you. And then going back to the discussion about consumer spending, are we to understand that, let's say on a sequential basis, and I'd also be interested in commentary, Q1 today, that sort of private label trade down, promotional intensity, you know, sort of trading up, trading down in package sizes. Are we seeing that behavior finally stabilize?
Pierre St-Laurent: Yes, absolutely. And so over the last quarter, we continue to see customer buying more in promotion, our [DPR] (ph) measurement. But it's stable compared to previous quarter and years. The customer continues to shop more stores, we continue to shop our stores, our transactions are up across every single banner. And we are seeing an increase in interest into the private table. So our sales and private table continue to perform very well, penetration is going up, and profitability through private table is going up. It's another good contributor to our margin performance. So it's stable, it's predictable, it's easier to manage, and we are seeing into this quarter in some weeks as some relief on the DPR, on the promote penetration, which is encouraging.
Michael Medline: So it's [getting quick] (ph). That's not from you changing it. It's from the consumer.
Pierre St-Laurent: Yeah, exactly.
Irene Nattel: Understood, thank you. And on the private label penetration, So are we kind of stable in that low to mid-20s level?
Pierre St-Laurent: As I said many times before, it's improving. Promo penetration is an indicator, but it's not the only one. We need to make sure that every single item in every single category are relevant into the category. So I'm not a big fan of measuring performance and quality of all by performance, but more by relevancy into the category. And you need to play a specific role into the cash, where we have a good margin expansion compared to national brand. But it's improving, which is good. And I think you're close to our number in your assumption.
Irene Nattel: That's great. Thank you, finally. I swear this is the last question. You noted that, these are all just little tag follow-ups. You noted that business was up across all banners. So -- are you saying same-store sales was up across all banners, in all regions, and that Longo’s and Farm Boy were the strongest?
Michael Medline: I think you said customer counts.
Pierre St-Laurent: Customer counts are up in every single banner. So because people are shopping more stores, first of all, and people continue to shop our stores. So, people are not shifting [100%] (ph) of their purchase from one store to another one. They're just shopping multiple stores and they continue to visit our stores. That's the good news.
Matt Reindel: And just to be clear, Irene, so we don't have positive comps in all of our banners in all of our regions. Again, as we start to lap some of those stronger comps from prior year, both in Q4 and in Q1, but having said that, our sales trend is improving across the board. So that's what we're really encouraged by.
Michael Medline: And the next thing, that's a great point that Pierre makes, and good question to accept, but that If we were losing a lot of customers, I'd be more worried. So as things continue to get better, we're going to see, we don't need to go out and get a lot of new customers. When they come, that's great. Just want one more item in the basket. You get one more item and then two more items, we're flying. And so we've just got to, and that's just not the economy, because I'm looking up here right now, that he and his team continue to improve like they are. And I'm really, you know, there's a lot of things we don't talk about on these calls, but I'm seeing improvement in terms of operations and merchandising across the board. And we have a lot of good initiatives underway to do that. So if the customer is still there, we just need them to stop cheating on us a little bit and come home to where they really like to shop and just need one more thing in the basket. And that's what we go for. Is that fair enough up here?
Pierre St-Laurent: Yeah, and the only thing we'd like to add is the investment we've made in data over the last couple of years are very useful right now. So the team is using data like never before. So they know exactly customer behaviors, where we have opportunities. So the team is leveraging the data more than ever to make sure that we remain very promotionally relevant. So I'm very confident that the team is adding the right tools to continue to drive growth going forward with those indicators and with this data usage.
Irene Nattel: That's very helpful. Thank you.
Operator: Thank you. Next question comes from Vishal Shreedhar from National Bank Financial. Please go ahead.
Vishal Shreedhar: Hi. Thanks for taking my questions. Once several years ago, Empire suggested that the Voila business could generate EBITDA margins comparable to the bricks and mortar business. And since that period of time, the bricks and mortar business has improved. And obviously, in this call, despite deferring the CFC in Vancouver, management seems to express enthusiasm [roll-out] (ph). So maybe you can give us some bookends, help us understand what the potential of the business is and some parameters. I know you said six to seven would be very happy, but I'd like to know what that means in some numerical terms. So if you can give us some indications of what underpins your confidence in Voila to rearrange us. That would be helpful.
Michael Medline: Yeah, thanks. Thanks, Vishal. We're probably, Matt's going to disappoint you a little bit by not giving you every number, but we're going to try here to help you out. But I did say that. At scale, Voila, we expect to have better EBITDA margin than bricks and mortar. And that makes sense. At scale, you have all sorts of scale advantages, even given delivery and all that. And that's just a fact. But not a scale. It does have that EBITDA margin, obviously. So we've got to get that closer to that six or seven number to get that kind of scale and have this as good and then better EBITDA margin. And I stick to that. Matt?
Matt Reindel: Yeah. Okay -- the only thing I would add to that is even theoretically, when people look at an e-commerce model versus a bricks and mortar model, they think, well, if price points are approximately the same, then how can you generate as much profit in e-commerce when you have additional distribution expense? Well, there's a couple of reasons in there. First of all, we charge for that distribution expense. So we get to recover some of that. But the second biggest reason, the difference between Bricks and Motor in e-commerce is you get to monetize the data. So over time, both through retail media and other channels, we'll be able to monetize that data. So in the long term, there's no reason, as Michael said, that, well are can't be at or even better either down margin than Bricks and Motor.
Vishal Shreedhar: Okay. Thank you for that. That was helpful. I wanted to get back to that traffic point, which I found to be interesting. So I have two questions, and I think one of them you partially answered. But my first question is, and I'll ask them both together, my first question is, is the traffic that you're seeing in aggregate across your banners, is that stronger than population growth? And related to that, I know management said they're prioritizing profitability over empty calorie sales, which makes sense, but at what point does management get worried that some of these traffic patterns that these customers are creating as they entertain other banners stick and they lose those customers more so for a longer period of time?
Michael Medline: Maybe I'll do the last one and then I'll try to tackle that population with. Yeah, I mean, we have seen, we have customer surveys that show us that people want to shop. They don't want to shop this way. They don't want to go to five stores. They want to go to the store they like. Let's take it and go back. Easy out of the store they like. We've also seen that in different times, even in this cycle, including last year Q1. So we had 4.1% comps because customers were feeling a little better and then they hit kind of an interest rate wall in late August or middle of August. And we saw that through the economy. And we saw that in almost every business that that happened. Some people change their behaviors, maybe a few. But as you point out, there's more population. But we believe, and we saw it at Christmas, and we see it different times, that we are not, all we need is one more thing in the basket. It's not like we need to, you know, 10 things in the basket here. So people do not want to shop this way due to exigent things out of their control. They have to, which is tough. It's been tough times. As things get better, we'll be the biggest recipient of things changing. And we'll be happy because that'll mean Canadians in a better spot. In terms of the other question, I don't know if we have answered.
Matt Reindel: Well, I would just add in terms of the comparison of population growth. As we've said this whole period, our customer numbers are what gave us the confidence that when sentiment returns that we will benefit and we'll be well placed because our customers are still in our store. And now we're beginning to see the benefits of that. Population growth isn't the only way we get new customers. So when you think about how we're growing our customer base, the work we're doing on scene, the work that we're doing with assortment, and our experience in stores, all of those things, we're attracting new customers to our banners. So it's not just population growth. So just to add to that, that that's part of the reason that our customer numbers are as strong as they are.
Vishal Shreedhar: Thank you very much.
Operator: Thank you. In the interest of time, we do ask that you limit yourself to one question coming from Chris Li at Desjardins. Please go ahead.
Chris Li: Okay, oh boy, I have a few follow ups. I have to [pick a good one] (ph), I guess. So maybe just to sum it up, like I think Michael, in answer to Mike's question earlier, he asked you like, you know, you're going to achieve 8% to 11% in [PS] (ph) growth this year. And I think you sounded fairly direct and confident that the answer is yes. Just from everything that I've heard you say so far, is part of your confidence really predicated on things that are within your control, you know, in terms of how you manage it for a lot in terms of all the other initiatives that you're doing? Is that kind of the way we should think about it, that it is, that's what you're sort of confident or is it depending on really still market factors?
Michael Medline: So, great follow-up. Thank you. Thanks for asking a follow-up question. So, our plan is to be this year in that range. As I intimated, but I'll be clear here, that it is predicated on the market getting a little better, but not great this year, but not a lot better, because, you know, it gets better than that's like cherry on top of Sunday, okay? What we've done this year, and blowout will be part of it, is we put together a plan that we should be able to be in that range given a slightly, slightly better market in this year. And as you know, a big part of that will be an increase in our net earnings and a big part will be the NCIB like most companies right today in retail and what they're doing. But we don't like to put high sales numbers in because we like that to be in addition to what we're doing. So this is in other ways the initiatives under altitude that we're doing. Some aggressive actions that we're taking in addition to what our strategy is that we're not ready to talk about right now. But that's the kind of thing we're talking about here because we want to make our shareholders happy and they deserve it. It's been a couple of harder years. And if we get outside sales gains, we're not counting on it. That will be a bonus. And if we don't see as good an economy, we'll make changes to make sure that we do everything we can to try to fit into that 8 to 11.
Chris Li: Right. Okay, thank you.
Michael Medline: That's our expectations.
Operator: Thank you. And the last question comes from Mark Petrie at CIBC. Please go ahead.
Mark Petrie: Yeah, thanks. Just a quick one Matt, I think I heard a comment where you said sales trends are improving across the board. Was that something specific to private label penetration or something like that, or was that a broad comment just about the business overall?
Pierre St-Laurent: It's really a broad comment across the board. I don't like making massive generalizations but we are seeing that pretty much broadly across the – due to all of our banners and all of our regions.
Mark Petrie: Yeah, okay. Thanks. And since I was quick, I'll squeeze one more, which is the dividend increase, obviously that outpaced the EPS growth. How do you guys think about that? Should we be thinking about that as sort of a stable payout ratio from here, or what's the right way to think about it?
Pierre St-Laurent: Well, I'm not going to comment on future years, but I think our trend and our past experience has been very, very stable in this. We do kind of like those dividend increases of 8% to 10%. Sometimes it's a little bit higher. How many years now, Katie, have we got dividend increase, [29] (ph). So I don't think it would be unreasonable for you to expect that we'll have a similar increase next year.
Mark Petrie: Okay, thanks for that.
Michael Medline: Thank you. Thanks, Mark.
Operator: Thank you. At this time, ladies and gentlemen, I will turn the call back over to Katie Brine for closing comments.
Katie Brine : Thank you, Joanna. We appreciate your continued interest in Empire. If there are any unanswered questions, please contact me by phone or email. We look forward to having you join us for our first quarter fiscal 2025 conference call on September 12. Talk soon.
Operator: Ladies and gentlemen, this concludes your conference for today. We thank you for participating and we ask that you please disconnect your lines.